Executives: Denita C. Stann - Vice President-Investor & Public Relations Jochen E. Tilk - President, Chief Executive Officer & Director Stephen F. Dowdle - President, PCS Sales, Potash Corp. of Saskatchewan, Inc.` Mark F. Fracchia - President-Potash Division G. David Delaney - Chief Operating Officer & Executive Vice President Paul E. DeKok - President, PCS Phosphate, Potash Corp. of Saskatchewan, Inc.` Raef Sully - Vice President-Project Management & Capital
Analysts: Andrew D. Wong - RBC Dominion Securities, Inc. Jeffrey J. Zekauskas - JPMorgan Securities LLC Vincent S. Andrews - Morgan Stanley & Co. LLC Christopher S. Parkinson - Credit Suisse Securities (USA) LLC (Broker) Mark W. Connelly - CLSA Americas LLC Michael L. Piken - Cleveland Research Co. LLC Don D. Carson - Susquehanna Financial Group LLLP Adam Samuelson - Goldman Sachs & Co. Jacob Bout - CIBC World Markets, Inc. Ben Isaacson - Scotiabank GBM Joel D. Jackson - BMO Capital Markets (Canada) P.J. Juvekar - Citigroup Global Markets, Inc. (Broker) Steve Byrne - Merrill Lynch, Pierce, Fenner & Smith, Inc. Steve Hansen - Raymond James Ltd. (Broker) Matthew J. Korn - Barclays Capital, Inc.
Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to the PotashCorp Second Quarter Earnings Conference Call. At this time, all call-in participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. I would like to remind everyone that this conference call is being recorded on Thursday, July 30, at 1:00 P.M. Eastern Time. I will now turn the conference over to Denita Stann, Vice President, Investor and Public Relations. Please go ahead.
Denita C. Stann - Vice President-Investor & Public Relations: Thanks, Brock. Good afternoon, everyone, and thank you for joining us. Welcome to our second quarter earnings call. In the room with us today, we have Jochen Tilk, our President and CEO; Wayne Brownlee, our Executive Vice President and Chief Financial Officer; David Delaney, Executive Vice President and Chief Operating Officer; Stephen Dowdle, President of PCS Sales; Joe Podwika, Senior Vice President and General Counsel; Mark Fracchia, President of PCS Potash; Raef Sully, President of PCS Nitrogen; and Paul Dekok, President of PCS Phosphate. I'd like to welcome all those who are listening in and remind people that we are live on our website. I would also like to remind everyone that today's call may include forward-looking statements. These statements are given as of the date of this call and involve risks and uncertainties. A number of factors and assumptions were applied in the formulation of these statements, and actual results could differ materially. For additional information with respect to forward-looking statements, factors and assumptions, we direct you to our news release and our most recent Form 10-K. Also, today's news release, which is posted on our website, includes a reconciliation of certain non-IFRS financial measures to their most directly comparable IFRS measures. I'll now turn the call over to Jochen for some comments, and then we'll go to questions.
Jochen E. Tilk - President, Chief Executive Officer & Director: Thank you, Denita. Good afternoon, and thank you for joining our call. We appreciate this opportunity to discuss our second quarter performance and to share our thoughts on what we see ahead. We also know many of you are interested in update on our proposal to K+S. So we will touch on that as well today. We will remind you that we have not made a formal offer, and we only confirmed our private proposal after it became known to the media. I will be as fulsome (02:47) as possible given these facts, and with that approach, would kind ask that today's Q&A session remain focused on our business and market conditions. Our second quarter earnings of $0.50 per share hit the midpoint of our guidance range, although results of both the quarter and first six months each trails their respective periods last year, primarily due to weaker nitrogen earnings. In Potash, we generated $417 million in gross margin, exceeding last year's second quarter total. This reflected weaker demand in North America that was more than offset by strong shipments to offshore markets. Canpotex shipped record volumes in the second quarter and through the first half as improved Canadian rail logistics and enhanced infrastructure and distribution capabilities helped them better meet customer demands. In our Nitrogen business, our gross margin declined 27% to $222 million relative to last year's second quarter as weaker global demand and increased supply led to lower prices for our products. Improved phosphate markets and the greater focus on higher netback, less volatile feed, industrial and liquid fertilizers supported improved margins during the quarter. Higher prices for these products along with the absence of Suwannee River closure costs more than offset lower sales volumes and raised gross margin to $72 million, far surpassing last year's total. Importantly, we continue to make great strides from a safety standpoint. Our total site recordable injury rate for the first half of the year was 24% lower than the same timeframe in 2014. We're on track to improve upon last year's annual record and toward our goal of being one of the safest resource companies in the world. From an operational point, we took some important steps as well. We achieved a significant project milestone at Rocanville this quarter. Our new shaft at Scissors Creek broke through into the underground mine workings in late June. Our employees accomplished a great feat; in fact it is the first time it has been done in Saskatchewan since 1978, when a service shaft was completed in Lanigan. Like any large-scale projects, there are challenges along the way, but we are working to the final phases of our expansion plans that will see us meaningfully enhance capability at this low cost operation. Our next step will involve installing new hoisting units and readying up for ramp up. In New Brunswick, we continue to advance development of our new Picadilly mine as planned. We're continuing to operate our Penobsquis mine to supplement production during the ramp up of Picadilly to ensure we can meet customer needs. This asset is uniquely positioned to serve the Brazilian market and fulfill Heringer's growing needs in the years ahead, as well as our other customers in Latin America and other locals. As we look ahead, we do so with long-term confidence, but a somewhat tempered near-term view. Uncertain economic growth prospects in many developing markets have resulted in increased volatility in equity and currency markets around the globe. In this environment, prices for most commodities have weakened, and while fertilizer has weathered the storm better than many, it has not been immune. While these conditions act as headwind, we also see encouraging signs that support our long-term value proposition. Importantly, encouraging potash consumption trends continue to unfold, especially in markets like China and India. The rising demand for higher potassium content bulk blends and compound fertilizers in these regions is keeping global demand at elevated levels even as customer markets like the U.S. take a more cautious approach on the market. We see global potash volumes remaining relatively robust through the balance of the year. A strong base load of committed tonnage to contract markets, as well as an acceleration of purchasing activity through the third quarter in Brazil is expected to see global shipments approximately 60 million tonnes in 2015, at the high end of our previous guidance range. While these demand trends are encouraging and have kept our annual potash sales volumes estimates largely unchanged, we have lowered our full-year expectations for potash gross margin given the declining prices through the second quarter. Increased supply and ongoing competitive pressure have created headwinds most visible in spot markets like the U.S. where prices have fallen by more than 10% since the beginning of the year. These market dynamics impact all potash producers, but relative to many peers, we believe we're advantaged in our ability to manage and succeed in this or any environment. We have unmatched flexibility to capture growth in a robust demand environment and strategies to mitigate down risk in a more challenging environment. In our Nitrogen and Phosphate businesses, we expect the market dynamics of the second quarter to persist through the balance of 2015, and have maintained our annual combined gross margin guidance range. To reflect a slightly more cautious view on Potash through the final six months, we have lowered the upper end of our previous guidance range with our expectations for 2015 now at $1.75 to $1.95 per share. Before we turn the call over to questions, I'd like to make a few comments about our proposal we made to K+S. Our proposed business combination would provide enhanced diversification offering a spectrum of products including potash, specialty products like SOP, salt, phosphate and nitrogen from geographically diverse production locations. The combined company would be well positioned to serve marketplaces throughout the world and further expand into emerging markets like Africa. We believe the combination would enhance the breadth of each company's respective portfolio, improve cash flow capabilities and provide a more stable and secure operating environment. Our two companies bring together complementary assets with minimal overlap of operations in markets. With respect to legacy, we would be committed to completing the current capital build out and making it operational. Production from this operation would be managed as part of our Saskatchewan portfolio consistent with our current strategy. While we would have to discuss the matter with Canpotex's other members, we would expect to export legacy product offshore through Canpotex and capitalize on its world-class global distribution platform of railcars, warehouses and port facilities. Further, with PotashCorp's own infrastructure already available within North America, we have an important and readily available distribution network in the domestic market. In short, this combination would create a more efficient integrated company able to prosper in an increasingly competitive global marketplace, with expanding global capacity. There are three stakeholder groups that I would like to address specifically in the context of this proposal. First, our shareholders. You can be assured in this proposal or any other business opportunity we consider that we will remain financially disciplined. Importantly, we're confident that our transaction would not be at the expense of either our dividend or our investment credit rating. Second, K+S's shareholders, we are fair. We believe our €41 per share proposal, which is subject to due diligence, provides full and fair value. It represents a 57% premium relative to the 12-month average stock price prior to the proposal and a premium significantly above other comparable transactions. Finally, K+S's employees and communities, we're confident our combination will create benefits for these stakeholders as well. In fact, we believe a combination provides greater stability and more opportunities for career growth, just as it would for our own employees. Because of the compelling strategic benefits, our proposal is not predicated on job cuts, mine closures or selling the salt business. Our plan would be to operate the German potash mines and salt business in the same manner as K+S, uphold existing environmental obligations, preserve the K+S brand and maintain K+S's headquarters in Kassel as European headquarters. To that regard, we are prepared to make binding commitments that provide these assurances. We are continuing to seek a constructive dialogue with K+S to pursue a friendly transaction. As I mentioned earlier, we do not intend to comment further on our proposal for K+S at this time. We ask that our question session be focused on our earnings and business conditions, and we'll be happy to take any questions now. Thank you.
Operator: Thank you. Ladies and gentlemen, we will now conduct the question-and-answer session. Our first question today comes from Andrew Wong of RBC Capital Markets. Please go ahead.
Andrew D. Wong - RBC Dominion Securities, Inc.: Hi. Thanks for taking my question. I'll just start off actually with China. It seems like we're pretty strong this year in terms of shipments, year-over-year a slight growth based on your projections. Can you talk about how the macro environment in China is affecting real farm level demand there, and are we seeing any inventory build or maybe as we exit this year if you see any inventory build, and what the impact of subsidies have on the ag environment in China? Thanks.
Jochen E. Tilk - President, Chief Executive Officer & Director: Thanks very much. Let me start with just a couple of points to your question, and then of course we've got the team lined up to get into more detail. Yes, China remains strong, in fact, to the point where we do anticipate a record year of imports and shipments. I think one of the things that is paying off now for us is really the Canpotex strategy of affiliating with other producers of NPK fertilizers. There is a growing demand, as I said in my remarks, on compounds and specialty fertilizers, and that's really fueling a true demand in China, and we're seeing that. A macro environment has an impact. There is no question in general on the economy, but we have not seen that specifically in the fertilizer business or in the demand for fertilizer. So, we really think it is a true demand for consumptions. To your points on anything more specific in inventory, really to the extent that we have visibility, we don't see a particular build up in inventory. So we do attribute the demand currently to consumption. Your question on the impact of subsidies on fertilizers, I'll turn it over to Stephen, any further flavor to the question on that specific point.
Stephen F. Dowdle - President, PCS Sales, Potash Corp. of Saskatchewan, Inc.`: Good morning. I believe one of the drivers that we're seeing in China, as we note, we do expect demand to continue to expand this year in China. There is really a drive for improved efficiencies there, and we see this – the economy is still expanding albeit at a slower rate. And we're seeing cash – high value cash crops in demand, and that's part of the growth behind the NPK's and the bulk blends. And we're also in terms of efficiencies seeing that these compound fertilizers are more efficient in their application across all of China, and that's helping fuel the potash growth story this year. As far as the subsidies are concerned, there's been a lot of talk about revamping the corn, particularly corn. There's been an expectation that there's going to be a change in policy. Right now it's only at the rumor stage, but what could happen if subsidies were changed and the policies were changed, that we would see corn imports grow into China. And it would also further support the need for whatever corn and soybean acres are being cultivated that the drive to improve yields on those acres will be accelerated, which will also be positive for potash growth. And maybe one more point really is the impact of the policy to keep nitrogen phosphate applications flat by 2020, and that's really – it's good news for potash, because it does call for more sophisticated application, and we see that as a benefit as well.
Operator: The next question comes from Jeff Zekauskas of JPMorgan. Please go ahead.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Thanks very much. In your commentary, you talked about weaker volumes in potash domestically for North American suppliers due to greater availability of product from offshore suppliers. Can you quantify how the offshore participants did, or what they were trying to do in the quarter?
Jochen E. Tilk - President, Chief Executive Officer & Director: Yeah, I'll just give you a couple of numbers and then again my colleague Stephen can get into it more. So the general estimate on past imports has been approximately 0.8 million, 800,000 tonnes, and I think the current estimates for imports now for the year is 1.3 million, so about a half a million more than what the average would be, but still below record years. And the points of entry would be New Orleans barges, it would be some extent Tampa. So those would be the entry points for offshore. And the amount of imports as it has increased obviously provided greater availability and a more competitive environment in the United States. So, dynamic is not surprising. It did have an impact. On the other hand, I mean we think, as I said as well, that we were able to compete with that because what's missing is you still have to get it from the barge to the customers. You still have to get it from Tampa to the customers, so there is distribution networks, there is warehouses, and all these things involved, and we have seen perhaps more than ever in the last six months that that provides a competitive advantage in this specific environment. Stephen, any further on that?
Stephen F. Dowdle - President, PCS Sales, Potash Corp. of Saskatchewan, Inc.`: For the calendar year, last year was a very strong year, about 1.3 million tonnes, and we saw those shipments come in very strong in the second half and in the first quarter of this calendar year. What we've seen in the second quarter is we've seen that level off a bit back to let's say more traditional volumes coming in. And so I think as we look in the second half, it would be our expectation that we would see a slowdown in the second half of this year compared to the second half of last year.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Okay. Thank you very much.
Operator: The next question comes from Vincent Andrews of Morgan Stanley. Please go ahead.
Vincent S. Andrews - Morgan Stanley & Co. LLC: Thank you, and good afternoon, everyone. I know your single point target for the year for Potash have been to 60 million tonnes, but I'm wondering if you could just sort of give us the parameters above and below that and if it's better, what markets are better? If it's worse, what markets are worse than the 60 million tonnes? Thanks.
Jochen E. Tilk - President, Chief Executive Officer & Director: Yeah, absolutely. In a nutshell, the markets that are more challenging this year are U.S. and Brazil, and the markets that are supportive of higher one is China and India, and Asia in general has been very strong. And that explains as well that there is a shift from granular and standard compared to last year because Brazil and U.S. are granular markets, and China and some of Asia are standard markets. So that's why that premium has changed. And that's really it in a nutshell. Record shipments in China, as we already talked about it. Good movement in India. And we just talked about U.S., and Brazil has had a tough start with 20% below in the first half compared to last year, but we see a pickup now, and of course, we look forward to a stronger second half.
Vincent S. Andrews - Morgan Stanley & Co. LLC: Do you have a range on either side of the 60 million tonnes, so is it 58 million tonnes to 62 million tones, is it 59 million tonnes to 61 million tonnes? How should we be thinking about it?
Jochen E. Tilk - President, Chief Executive Officer & Director: Beyond the resolution that we can probably provide, but our range is 58 million tonnes to 60 million tonnes. So, that was the original guidance. So, we're on the upper-end of our original guidance. So, we are a little more encouraged than what we thought at beginning, to put it in words.
Vincent S. Andrews - Morgan Stanley & Co. LLC: Okay. Thanks very much.
Jochen E. Tilk - President, Chief Executive Officer & Director: Thank you.
Operator: The next question comes from Chris Parkinson of Credit Suisse. Please go ahead.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC (Broker): Perfect. Thank you. Can you just give us a quick update in addition to your original comments on the ramp up of production in New Brunswick, Picadilly? And then what you think this will look at by year-end and more importantly over the next year or two? Thank you.
Jochen E. Tilk - President, Chief Executive Officer & Director: Yeah, I like to turn that over to Mark Fracchia, President of Potash. In fact, he's just been in New Brunswick, so...
Mark F. Fracchia - President-Potash Division: Yes, good morning. The ramp up at New Brunswick is progressing as planned, as per Mr. Tilk's original remarks. It's a new mine, and it's not without its challenges, but at the same time, when we haven't encountered any major surprises, so it's going as well as we could expect. And we don't really have a firm timeline in terms of the next few months, and production from that – from Picadilly, because we're trying to ensure that our development is done in a thoughtful manner and as efficiently as we possibly can. In the meantime, as we indicated, we'll continue running Penobsquis to ensure that we have enough product on to satisfy our markets from that area.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC (Broker): Perfect.
Jochen E. Tilk - President, Chief Executive Officer & Director: It's fair to say, Mark, that we're trying to shift out of Penobsquis, that's the obvious goal, because that's higher cost tonnes for us, and then move over to Picadilly as the final outcome of that ramp up.
Mark F. Fracchia - President-Potash Division: And that's correct. I mean our plan was originally and continues to be to eventually shift all our production to Picadilly from Penobsquis, and again the timing of that will depend on the actual timing of our ramp up, but we don't have anything definite. But there's a pretty good likelihood we're going to continue to operate Penobsquis, not just through this year but through at least part of next year.
Jochen E. Tilk - President, Chief Executive Officer & Director: And just to get one more step granted, we're moving two of our large mining machines now to the phase-ins in the coming weeks, which is another milestone at Picadilly to get to the next productive phase.
Mark F. Fracchia - President-Potash Division: Correct. And that's going to be really a key milestone for us, because up to now all of our cutting in Picadilly has been in development mining, which means it's essentially been in salt. And so with the two mining machines in production rooms (23:41) are going to get a pretty good representation of our mining capability.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC (Broker): Perfect. And kind of all in the same subject, it's been clear to obviously all of us that Brazil's started off a little bit lighter than expected as credit and FX have been problematic. Can you just comment on what you're hearing from your distributors, including Heringer, particularly any differences in region, crop type or farm size? Thank you.
Jochen E. Tilk - President, Chief Executive Officer & Director: Yeah. Absolutely. And thanks, you're pointing out Heringer yield, and by the way we expect that to be completed by the middle of August, and that plays an important role how we look forward in our Brazil strategy. And to the specifics on the question of region, Stephen, if you can say a few words?
Stephen F. Dowdle - President, PCS Sales, Potash Corp. of Saskatchewan, Inc.`: Sure. Chris, during the first half, Brazil got off to a slower start, the imports were down about 20%. This was due – 2014 was a very strong year, and at the beginning of the year there were higher inventories carried over. And couple that with some of the economic uncertainties, you have the real that's trading at a 12-year low, you had soybean prices coming down, you had rural credit availability, a bit of a problem. So, all of these factors contributed to a slow start. What we're seeing right now is we're seeing and expecting a – not the same kind of decline in the second half, and we've got – we're seeing a very strong vessel line-up here in July and August. This has been supported by higher soybean prices in real terms. It's also leading to the expectation of 3% to a 5% increase in soybean acres. And we are seeing some switching from full season corn, you talk about regional differences of what might be going on, and we are seeing in the south switching from full season corn to soy and then the Safrinha corn. And what this will mean is that as we get into the fourth quarter and even into the early part of the first quarter next year is that we should expect to see potash shipments continue to support that fertilizer for this Safrinha corn. So, all in all, our expectations for the total year on Brazil are about 30 million tonnes total NPK and about 8 million to 8.3 million tonnes of potash imports.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC (Broker): Perfect. Thank you.
Operator: The next question comes from Mark Connelly of CLSA. Please go ahead.
Mark W. Connelly - CLSA Americas LLC: Thank you. Just two things, I wonder, Jochen, when you came on board, you talked about looking at the mills and looking at downtime differently. I'm just curious now looking back, how much differently your system or individual mills are actually running? And then secondly if I could, we're hearing all sorts of different things about summer-fill, you said it's going well, other people have said it doesn't exist. So, maybe you could just put that in context?
Jochen E. Tilk - President, Chief Executive Officer & Director: Thanks, Mark. Well, on the second question, you gave us quite a range there. Thanks for the first question and the reference to mills and getting our reliability up, and there's really two areas where that's relevant. One is in Potash, and the other one is in Phosphate, because phosphate has its challenges, had its challenges operationally, worked pretty hard on that, and actually have Paul DeKok here, who is our President of Phosphate, he can you give you a – actually some pretty good numbers. But Potash first, one of the changes, and that's really coincidentally since I arrived, when you look at – we generally operate it at about 70%, 75% of our operating capacity. We're now running at 90% of that range, which is due to the industry to demand, but it's a very different operating scenario, because once you get over 90%, you're basically running pretty much at the capacity that you define to be. So that requires us to be very focused on availability and all of that, and we do have some pretty good programs that we are putting in place to work on that. Mark, I don't know if you want add something to the specifics of mill availability and run rates?
Mark F. Fracchia - President-Potash Division: Yes, good morning. I think in addition to what's been said, we're continuously looking at our maintenance practices and so on to increase our availability at all of our operations. But I can say that generally speaking, we've had pretty good success, and really the main difference has been mentioned is that, in fact, we are running at an overall higher availability, and we are still taking maintenance shutdowns through the year. However, we're also very careful to ensure that we're minimizing that shutdown time and yet being able to address all of the maintenance requirements that we have during those shutdown periods. There is always opportunity to improve maintenance at our facilities, and we continue to work hard on and diligently to improve our up-time, but certainly we've seen a much greater availability now than we've ever seen before.
Jochen E. Tilk - President, Chief Executive Officer & Director: David Delaney, our Chief Operating Officer, has a comment.
G. David Delaney - Chief Operating Officer & Executive Vice President: Mark, one more comment. When we realigned our operations in late 2013, our goal was to run our lowest cost operations at the highest rate, and we've done that and we made a goal, set a goal for 2014 and 2015, reducing our cost of goods by $20, between $15 and $20. And I know we've been aided by the Canadian dollar, but if you look at year-to-date, we're right at $105 full book compared to 2013 of about $136. So, about half of that decreases in FX, but the other half puts us in that range of between $15 and $20 of reducing our cost of goods.
Jochen E. Tilk - President, Chief Executive Officer & Director: So that's really on the Potash side is to run our operations at the highest rates because they run more efficiently and obviously at the lowest cost. I think we're quite successful doing that this year. Just a quick comment on Phosphate, because I think it's relevant, how we changed reliability in our mills in the phosphate area.
Paul E. DeKok - President, PCS Phosphate, Potash Corp. of Saskatchewan, Inc.`: That's great, Mr. Tilk. We've instituted an operational equipment excellence program, it's known as OEE, and we've seen a 15% improvement early on in the program. We're now heading over 20% improvement. So our mining rates and our mill capacity have been increased to probably more than expected throughout this year, and it's made up a lot of ground and is presently lowering our rock cost.
Jochen E. Tilk - President, Chief Executive Officer & Director: Excellent. Yeah, I know, great job guys down there in Aurora and White Springs. To your second question, Mark, we're in the spectrum, in the end of the spectrum where it's going well. We had very good success when it came out, and we're pretty much have our book full throughout October. So we certainly have a positive attitude toward the summer-fill. Stephen, if you want to add a few words?
Stephen F. Dowdle - President, PCS Sales, Potash Corp. of Saskatchewan, Inc.`: And the other comment I would make is that, yes, there is – I can't confirm without reservation that summer-fill did exist, does exist. And the reason that we did get a good response to that was our customers perceive that there is good value in potash right now. And, yes, we do have headwinds, but the adjustment in potash prices was perceived to be fair and providing good value to the growers. And, I would extend that comment, not just to summer-fill and to North America, but I would extend that globally. And, I think that is also partly what's supporting this good demand in China, India and other countries around the world.
Mark W. Connelly - CLSA Americas LLC: Very helpful, thank you.
Jochen E. Tilk - President, Chief Executive Officer & Director: Thank you, Mark.
Operator: The next question comes from Michael Piken of Cleveland Research. Please go ahead.
Michael L. Piken - Cleveland Research Co. LLC: Yeah, hi. I just wanted to shift gears and talk a little bit more about the nitrogen side, and just wanted to get your expectations for Chinese urea exports for the back half of the year, as well as kind of what your expectations are for Trinidad outlet?
Jochen E. Tilk - President, Chief Executive Officer & Director: Yeah, thanks. Just introductory comment, and I'll turn it over to Stephen. As I said in my comments, relatively flat for the next quarter, not – no significant change from where we are right now is our general expectations. Now, regards to imports...
Stephen F. Dowdle - President, PCS Sales, Potash Corp. of Saskatchewan, Inc.`: Well, there was a change in the export tax policy in China, and last year was a record year for Chinese urea exports, about 13.5 million tonnes. During the first half of this year, we've seen exports of about 6.7 million tonnes, which is a 62% increase year-over-year. We don't expect that growth rate to continue into the second half because we believe that with the export tax policy basically being flat for the 12 months of this year that the exports will be fairly evenly distributed across the year. And therefore, our expectation is that total urea exports will be similar. They could be slightly increased, but not – our expectation is not to see a quantum jump in China's urea exports this year like we saw last year.
Jochen E. Tilk - President, Chief Executive Officer & Director: Thank you, Stephen. We also have Raef Sully here, our President, Nitrogen, so he just want to make a few comments as well.
Raef Sully - Vice President-Project Management & Capital: Just on the Trinidad curtailments, we're expecting to see a total curtailments this year similar to last year. We don't expect to see that change the next three years. We have been in conversations with suppliers and government down there. We know that there are other fields coming on line in the next three years to five years. We expect to see similar amounts of curtailments for the next few years. What we are doing is adding – increasing the efficiency of the equipment we have there. We just went through a turnaround on our 03 plants, increased its efficiency, and we're considering increasing the efficiency of our remaining 01 and 02 plants as well as bringing them up to the same level as our other plants.
Michael L. Piken - Cleveland Research Co. LLC: Thanks, Raef.
Jochen E. Tilk - President, Chief Executive Officer & Director: Thanks very much, Michael.
Operator: The next question comes from Don Carson of Susquehanna Financial. Please go ahead.
Don D. Carson - Susquehanna Financial Group LLLP: Thank you. I want to go back to the comment you just made about farmers around the world finding good value at current prices. Does that mean that to maintain current volumes in a lower crop price environment that really we can't – shouldn't expect much of improvement in pricing? And then just a clarification on North America. Your shipments were down sharply, can you comment at all about how much of the decline in North America was reduction in pipeline inventories versus what consumption came out at?
Jochen E. Tilk - President, Chief Executive Officer & Director: Yeah. Thanks, Don. To your first point, I'll make a philosophical point, and then let Stephen get in. We do believe and we have seen in last year and year-over-year that the current price environment stimulates volume growth. I mean we certainly believe that's one of the reason why China has had such an increase in demand. We see it in other parts of the world. So, that's the statement that I think is reasonably well and supported by the last 12 months to 24 months. The statement does not provide an opportunity on price improvement, I think that would not be entirely one that we'd support because we do believe that as market conditions improve, there is some opportunity. So while the first one of the support of volume at current price levels is important, there is some upside opportunity down the road if and when market conditions improve. So that's kind of a general philosophical point. Stephen, I don't know if you want to add more in there.
Stephen F. Dowdle - President, PCS Sales, Potash Corp. of Saskatchewan, Inc.`: Yeah. With regards to the situation in North America and the inventory consumption. I mean, as you well know, it's always a very difficult – inventories are very difficult to quantify. But if you look at it on a fertilizer year basis, if you recall a year ago, the market, there was no inventory in the system. The pipeline was dry, and we actually took a price increase a year ago during the summer-fill, which is unusual, and that was because of demand in the market, the need to restock. And so we started this current fertilizer, or the year that we just finished here, very strong with those shipments, and as we came into the spring and with some of the weather issues that we had, some of the delayed planting issues that we had, some of the economic headwinds that we had, both here and around the world, I think the expectation was, is that we weren't going to do in the summer-fill this year what we did last year. In other words that the prices were likely not going to go up, but there was I think an anticipation that there would be a reset in prices on the downside, and so when people have the expectations that prices are going to decline, they naturally want to focus on making sure that they end the year with as little inventory as possible, and start holding back on their shipments, and we certainly saw that in April, May, and June. And I think that was certainly part of the decline that we saw, and yes there still was a little carryover this year, and that was I think more a reflection of some of the delayed planting and the shorter application window. But certainly as these prices have reset, our customers now see the value in where prices are, and that's why we had a good response to our summer-fill program.
Don D. Carson - Susquehanna Financial Group LLLP: Thank you.
Jochen E. Tilk - President, Chief Executive Officer & Director: Thanks very much, Don.
Operator: The next question comes from Adam Samuelson of Goldman Sachs. Please go ahead.
Adam Samuelson - Goldman Sachs & Co.: Yes, Thanks. Good afternoon, everyone. A question on market share, and I guess this is more of a Canpotex than PotashCorp specific. In Brazil, in the first half, on my calc, Canpotex increased its shipments to Brazil north of 20% year-over-year, or Latin America, which Brazil is the majority, while Brazilian imports were down 20% through June. And in that time period Brazilian pricing is – granular pricing is down $40 to $50. And I'm trying to think about how Canpotex has changed its priority on market share in Brazil or other markets today or how are things with that moving forward?
Jochen E. Tilk - President, Chief Executive Officer & Director: Yeah. Thanks for that question and setting out the numbers there. Introductory comment, again and turning it over to Steve, but we've – two things. Obviously, we see some beginning of our Heringer relationship working out and how we will see that evolve when that transaction is completed, but that has some impact. The equally and perhaps even more important one is that Canpotex, and we in New Brunswick are focused on improving our infrastructure, improving our logistics, getting access to Brazil, and so that's now showing fruition. So it's a combination of our relationships with distributors in the country, plus the improved infrastructure and logistics of getting into the country. So the combination of both, which gave us access.
Stephen F. Dowdle - President, PCS Sales, Potash Corp. of Saskatchewan, Inc.`: And the other comment I would add to that is that, during the first half, we did see some of our competitors have some supply issues, and that gave Canpotex some opportunities that I think are reflected in their shipments in the first half.
Jochen E. Tilk - President, Chief Executive Officer & Director: Thanks, Adam.
Operator: The next question comes from Jacob Bout of CIBC. Please go ahead.
Jacob Bout - CIBC World Markets, Inc.: I had a question on Rocanville, maybe you can provide us a bit of an update how the ramp up is going there, and then maybe talk a little bit about how you plan on managing that capacity as it ramps up, because that will be a lower cost capacity?
Jochen E. Tilk - President, Chief Executive Officer & Director: Right. We'll start with the technical part first, and I'll turn over to Mark who can describe the status of the Rocanville ramp up.
Mark F. Fracchia - President-Potash Division: Yes. The construction at the Rocanville on the expansion work is progressing well. The final phase of construction, which is the conversion of our number two headframe to production headframe is expected to be completed by mid next year, at which point we'll be in a position to begin ramping up the production from that facility. As far as balancing our operating capability, when Rocanville comes online, we have operating flexibility at each of our potash sites, and we're going to use that flexibility to continue to balance our operating capability to capitalize and optimize our margins on sales while managing costs. We want to make sure we continue to remain the low-cost producer, and so again we have that flexibility, and it would be too early right now to be more specific until we see just what demand looks like at that point.
Jochen E. Tilk - President, Chief Executive Officer & Director: Thank you, Mark. And this is really to Mark Connelly's question and David's and Mark's, our Mark's response a little bit earlier. This is really our philosophy in maximizing the value of our operations. It's a combination of their flexibility, the lowest cost portfolio that we can run at any time, and I think we've gotten very good at it and have shown that through our cost profile.
Operator: The next question comes from Ben Isaacson of Scotiabank. Please, go ahead.
Ben Isaacson - Scotiabank GBM: Thank you for taking my question. Maybe another question on philosophy. Jochen, you've been in the role now for 13 months. Can you just – as you look back and reflect over the past year or so, can you just talk about how the year has developed versus your own exceptions coming into this role? Specifically with respect to the potash market itself and maybe also your personnel strategy for the company? Thanks.
Jochen E. Tilk - President, Chief Executive Officer & Director: Thank you, Ben. Two very deep-seated questions, but entirely appropriate of course. On Potash, I said that earlier, and when I joined this company – this great company and the team around me, I am – I looked at operating rates that we had traditionally of 70%, and we are now running closer to 90%. And I think the big – one of the surprise really is that the markets have changed. It's more demanding on operators, it demands more focus on reliable operations and how we deliver. It demands more sophistication, how we select our tonnes from our portfolio, how we create option values, how we maintain our flexibility. And I do believe that's the market going forward. It's a market that requires you, one hand to look very carefully at your assets and how we run them most efficiently, and at the same time how we put together that portfolio of lowest cost tonnes. However, recognizing what our freight benefits, product benefits, access to markets and all these things because they determine at the end what the gross margin and the netbacks are in addition to operating cost. To your second point on strategy, it really is a strategy that's consistent with that that we would – we want to position ourselves to be really the most efficient, the most flexible player in any type of market. We communicate our strategy, we communicate that with conviction what believe makes more sense. We're a strong believer in Canpotex, in its ability to move tonnes, in its infrastructure, in its logistics capabilities. And so, we're a big supporter of that and are very strong in those, how we communicate that. At the same time, we ensure that we're positioned for any possible market, and we're set up and competent in that. So, strategically in any of our assets, in any of our nutrients, is that's what we're going to do.
Ben Isaacson - Scotiabank GBM: Great, thank you.
Jochen E. Tilk - President, Chief Executive Officer & Director: Thank you so much, Ben.
Operator: The next question comes from Joel Jackson of BMO Capital Markets. Please go ahead.
Joel D. Jackson - BMO Capital Markets (Canada): Hi, good afternoon. As you are sort of out there looking for an acquisition, I just wanted to know if that would increase the likelihood that you might sell other assets such as Phosphate, the ICL stake, the SQM stake. Sort of what your view is on that? And, also, do you have more comfort level now in the corporate governance in SQM, maybe you can comment there?
Jochen E. Tilk - President, Chief Executive Officer & Director: Yeah, thanks. We – clearly, if we look at that – I mean those are opportunities to incorporate that in the financing structure. So, there is a possibility that we would do that specifically on equity investments. So, I would not exclude that. In terms of SQM, we do have more confidence. I'd say very clearly that the steps that we're taking to make sure that governance was restored, were quite successful. We now have three members of our company as directors, who do a fantastic job. I think the board as it is now constituted is a great board. The chairman of the board and then the committee members are very strong on governance. So, we're actually very delighted about how far that has come in a positive way since the challenges. So, yes, much improved governance in SQM.
Joel D. Jackson - BMO Capital Markets (Canada): Okay. Thank you.
Operator: The next question comes from P.J. Juvekar of Citi. Please go ahead.
P.J. Juvekar - Citigroup Global Markets, Inc. (Broker): Yes. Hi. You mentioned that your assets were running at 70% when you arrived, and today they're running at 90%. Is that a change in strategy? Is that a deliberate strategy which is different from prior years? This is more like mining strategy. Is that something we should expect from PotashCorp going forward?
Jochen E. Tilk - President, Chief Executive Officer & Director: No. Just to be correct, it's a bit of an artifact of demand and aligning ourselves with demand. Prior to my arrival, and this is a coincidence, the market demand was such that our assets ran at 70% plus. And by the way, this pertains as well to other participants in the industry. Demand has improved, and as you may recall, 2014 was an exception with 65 million tonnes. It was 7 million tonnes above the prior year of 2013. So, everyone had to or everyone did contribute to an extra 7 million tonnes globally which led to that increased number. So, we see a very similar scenario this year. So, for last, for 2014 and year-to-date 2015, so a year and a half, this is the operating motive. So, it's not a strategic change. It's an artifact of the much more significant demand we saw from 2013 to 2014.
P.J. Juvekar - Citigroup Global Markets, Inc. (Broker): Thank you.
Operator: The next question comes from Steve Byrne of Bank of America Merrill Lynch. Please go ahead.
Steve Byrne - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Hi. When you think about the longer term opportunity in Potash and specifically that incremental capacity that could come on stream in Saskatchewan, do you see opportunities for Canpotex to move those tonnes into new markets where you might have freight rate advantages or speed of delivery advantages other than just price?
Jochen E. Tilk - President, Chief Executive Officer & Director: Yeah. I do think if I understand your question, right, I do believe that infrastructure and warehousing, handling, logistics is such a big factor. And we saw it – and two very good examples, domestically for PotashCorp, we really see how our strategy of having access to warehouses, our ability to move product is paying off. And we're building – we're currently constructing a 125,000 tonne warehouse in Hammond, near Chicago. We already have a railroad yard or access to a railroad yard, and this hub will really help us to move product reliably and quickly. The fertilizer industry and the nutrient industry needs product quickly. It's a short season, and it's getting shorter. I mean product moves in a week, and suppliers and distributors have to respond to that. Internationally, to your original question, I see exactly the same benefits. We added additional railcars to the Canpotex fleet, we're constantly looking at port access, the opportunity of port expansions and how we improve logistics. And that's what I see as part of the future. And some of the benefits we're now seeing in Brazil, to an earlier question. So I do see that as an opportunity where freight advantages, improved logistics are one of the ways of differentiating in a competitive environment.
Steve Byrne - Merrill Lynch, Pierce, Fenner & Smith, Inc.: And those share gains, is it fair to say you see more opportunity in the export market or in the North American market?
Jochen E. Tilk - President, Chief Executive Officer & Director: Well – the North American market is a more mature market, there's no question about it. So, but logistics still play an important role. In the export markets of course we got new emerging markets, and India being one of them, and even Africa is a very, very new market. So, from a long-term perspective, certainly from a growth and development perspective, the offshore market provides tremendous opportunity, and the domestic market requires us to get better and better every day, and then with that one is continuous improvement and always stay on top of what our customers need.
Steve Byrne - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Okay. Thank you.
Jochen E. Tilk - President, Chief Executive Officer & Director: Thank you.
Operator: The next question comes from Steve Hansen of Raymond James. Please go ahead.
Steve Hansen - Raymond James Ltd. (Broker): Yes, good morning guys. Just a question on the pricing landscape and your more conservative view at the back half of the year. Just was hoping you could provide some color around your expectations for the price increases that Canpotex has been looking for in Southeast Asia and Brazil, and as a derivative, what kind of increases you might have built in your back half estimates, if any at all? Thanks.
Jochen E. Tilk - President, Chief Executive Officer & Director: Yeah, thanks for the question. But we don't talk about price increases specifically. We talk about trends, and we've covered that, but unfortunately we can't give you any specific numbers on that one.
Denita C. Stann - Vice President-Investor & Public Relations: We'll have time for just one more question, Brock. Thank you.
Operator: Thank you. The last question comes from Matthew Korn of Barclays. Please go ahead.
Matthew J. Korn - Barclays Capital, Inc.: Thanks, everyone. I'll try to finish up strong here. So, for the last couple of years we've seen the Chinese kind of draw line under the nitrogen netbacks that they claim that they will accept, and that seemed really to help hold up the floor for global prices even as the exports clearly flow. So, first, do you think this has been a major factor for your pricing? Second, does this keep happening? And last, if you were to put down a bet on whether Chinese energy costs and manufacturing costs for N, P and K too really, increase or decrease over the next one year to three years, what side would you take?
Jochen E. Tilk - President, Chief Executive Officer & Director: Thanks, Matt. I'll turn that to Stephen for any equally strong finish.
Stephen F. Dowdle - President, PCS Sales, Potash Corp. of Saskatchewan, Inc.`: Well, yes, the Chinese have tried to draw a line, and whether they're going to be successful or not, I think if you watch this India urea tender that the results just came out today. How that – those supplies come in will be a good indication of whether drawing a line in the sand is successful or not, because to be successful in this India tender, supplies out of China would have to come in below the line that they drew in the sand. So, time will tell. On your question about energy prices in China, over the next three years, if I'm a betting man, I would bet that they're going to increase rather than decrease.
Denita C. Stann - Vice President-Investor & Public Relations: Thank you very much everyone for your time today. If you have any further questions, please do not hesitate to give us a call at the office. Take care.
Operator: Ladies and gentlemen, this concludes the conference call for today. Thank you for participating. Please disconnect your lines.